Operator: Good day, and thank you for standing by. Welcome to the Commvault Q1 Fiscal '22 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mike Melnyk, Director of Investor Relations. Please go ahead.
Mike Melnyk: Good morning, and thanks for dialing in today for our call to discuss our first quarter fiscal year '22 earnings results. Before we begin, I'd like to remind everyone that the statements made during this call, including in the question-and-answer session at the end of the call, may include forward-looking statements, including statements regarding financial projections and future performance. All the statements that relate to our beliefs, plans, expectations or intentions regarding the future are pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and are based on our current expectations. Actual results may differ materially due to risk and uncertainties, such as competitive factors, difficulties and delays inherent with development, manufacturing, marketing and sale of software products and related services and general economic conditions. For a discussion of these and other risk and uncertainties affecting our business, please see the risk factors contained in our annual report on Form 10-K and our most recent quarterly report on Form 10-Q and in other SEC filings and in the cautionary statements contained in our press release and on our website. The company undertakes no responsibility to update the information in this conference call under any circumstance. In addition, the development and timing of any product release as well as features or functionality remain at our sole discretion. Our press release related to today's announcement was issued over the wire services earlier this morning and has been furnished to the SEC as an 8-K filing. The press release is also available on our Investor Relations website. On this conference call, we will refer to non-GAAP financial measures. A reconciliation between non-GAAP and GAAP measures can be found on our website. This conference call is being recorded, and a replay is available for the webcast. An archive of today's webcast will be available on our website following the call. With me on the call this morning are Sanjay Mirchandani, President and Chief Executive Officer of Commvault; and Brian Carolan, Chief Financial Officer of Commvault. Sanjay and Brian will each share opening remarks and commentary before we open the call for Q&A. Now I'll turn the call over to Sanjay.
Sanjay Mirchandani: Good morning, and thank you for joining us this morning. As the pandemic continues, I hope you're all remaining healthy and well. As you saw in our earnings release this morning, we are off to a solid start to the year with our Q1 results, and they are consistent with our near-term expectations. Software revenue grew 7% and total revenue grew 6% year-on-year. Our total ARR grew 13% year-on-year, driven by new subscription customers and the continued strength of our Metallic data protection as a service offering. We continued to make progress on our recurring revenue transition with 78% of Q1 total revenue being recurring. We saw further evidence that our intelligent data services platform and strategy are resonating with customers as both new product contribution and multiproduct adoption increased quarter-over-quarter. And we grew responsibly, achieving a non-GAAP EBIT margin of 22.4% and posting non-GAAP EPS of $0.62. This would not be possible without the dedication and hard work of our employees, so I would like to extend my sincere thanks to all our Vaulters around the world. Brian will delve into the financials in a few minutes. But first, let's discuss the market and our portfolio. The cloud-based market transformation we anticipated is in full swing, and it couldn't have happened at a better time as more companies return to the office, revisit the IT priorities they paused during the pandemic and grapple with a rise in ransomware attacks. As you know, the pandemic has changed business forever. At Commvault, even before COVID, we've always had a significant percentage of employees working remotely with talent and resources around the world. Yet, as more companies are taking advantage of people, systems and data in multiple locations, they are turning to us to help them modernize their data environment, to address these new needs and more effectively manage their data costs. We do this by offering the broadest workload support across environments, applications and clouds with industry leading data management and protection, security, compliance and governance capabilities. And we provide the ultimate choice and flexibility by delivering our solutions as software, in appliance, in managed service or SaaS, all managed through a single pane of glass. This competitive differentiation is helping us expand with existing customers and land new customers globally. For example, Harel Group, one of Israel's largest insurance providers, uses our software to protect over 1.5 petabytes of data on-premise. In moving to Microsoft Azure, including Office 365, Harel needed to ensure that cloud data could be protected and recovered as easily and reliably as their on-premise data. Metallic's back up for Office 365, and Metallic Cloud Storage Service enable Harel to protect thousands of mailboxes, minimize infrastructure costs and reduce the risk of ransomware attacks. Speaking of ransomware. During the quarter, we also saw more demand for our data security services from existing customers to help them recover and minimize disruption from ransomware attacks. In fact, we have these conversations daily with our customers and prospects. In a recent IDC survey of over 400 Commvault customers, 60% of respondents said their decision to choose Commvault was triggered by a desire to reduce risks from ransomware and other threats. More importantly, nearly 85% of those surveyed said that they felt more confident in their ability to recover from a ransomware attack after deploying Commvault software. For instance, among our Q1 wins was one of the nation's largest banks with over $150 billion in assets and thousands of branches and ATMs. This new customer chose Commvault over a legacy incumbent primarily because of our layered approach to ransomware recovery. Our offerings of Metallic Cloud Services, combined with HyperScale X, can address the needs of both new customers and existing customers looking for more protection. We're attracting more cloud-leaning new customers with Metallic, which provides an easy-to-adopt, highly secure backup environment with local immutable copies of HyperScale X and cloud copies in our air gapped Metallic Cloud Storage Service, MCSS. It's our ability to bring the power of HyperScale X alongside Metallic to provide capabilities no one else can match. The flexibility and breadth of capabilities across our entire intelligent data services platform is resonating with customers. Tower Research Capital not only chose Commvault to protect petabytes of data across Dell-EMC, Isilon and NetApp, but we beat the competition based on our ability to lower total cost of ownership and operating costs, provide a standardized data management platform and simplify their environment. This innovation continues to garner numerous industry accolades. GigaOM recently named Commvault as a leader and an outperformer in its GigaOM Radar for hybrid cloud data protection reports for both enterprise and SMB. We were a top-rated vendor in all key criteria and evaluation categories across both reports. And just last week, Commvault was also named the leader in Gartner's 2021 Magic Quadrant for Enterprise Backup and Recovery Software Solutions for the tenth straight time. Now I'd like to take a moment to discuss Metallic, a rising star in our intelligent data services portfolio. I'm excited to report that Metallic continues to show a very strong momentum. We're seeing increased interest in managed services and SaaS -- sorry, in managed services and SaaS as organizations with constrained resources are migrating more workloads to the cloud. In fact, most of the workloads we're managing through Metallic are net new workloads. We have demonstrated that our enterprise-grade data protection as a service platform can scale across customers of all segments, sizes and types of data. In Q1, Metallic total customer growth continued to impress quarter-on-quarter with over 300 new customers. Over 50% of those customers are net new at Commvault, and more than half of our Metallic customers are using another Commvault solution. Another pattern we've seen over time is that 1/4 of them are choosing more than 1 Metallic offering. These are exciting trends that demonstrate our ability to land new customers and expand our footprint with existing customers. We're also seeing continued adoption among enterprise customers with greater than $100,000 in Metallic ARR. The number of these customers nearly doubled this past quarter. And Metallic continues to rapidly innovate. We released Metallic Government Cloud, becoming the only data protection as a service offering in the industry to currently achieve FedRAMP high-ready certification status. Given the heightened security needs of customers, this certification validates that Metallic meets the most stringent confidentiality and integrity and availability standards recognized by the U.S. government. In Q1, we announced Metallic Backup for Microsoft Dynamics 365, completing protection for all 3 Microsoft clouds. We also delivered Azure Active Directory backup, a critical component for company security strategy. We saw immediate customer demand and wins for all of the new services and features. And just 2 weeks ago, we launched Metallic for MSPs to offer customers even more choice in delivery models for their intelligent data services with SoftwareONE as our design partner. We expect this new agreement will help scale the reach of Metallic around the globe. We're very encouraged by our momentum, and we're confident in our ability to continue winning share of the large and growing data protection as a service market. We believe that we are well positioned to continue to deliver on our industry-leading innovation road map and drive our go-to-market initiatives to achieve our financial targets. Now I'll turn it over to Brian to discuss the financials. Brian?
Brian Carolan: Thanks, Sanjay, and good morning, everyone. Hopefully, you had a chance to review the results we released earlier this morning. Coming off our record fiscal '21 performance and into the first quarter of fiscal '22, we are off to a solid start. I will briefly recap the results. In fiscal Q1 '22, we reported total revenue of $183 million, an increase of 6% year-over-year. Software and products revenue increased 7% year-over-year to approximately $82 million. As a reminder, we've moved to a software-only model. In Q1, software-only growth without hardware would have been approximately 11% year-over-year. Revenue from software transactions over $100,000 increased 2% year-over-year and represented 69% of software revenue. The volume of these transactions increased 34% year-over-year, and the average deal size was approximately $305,000. Please note that in Q1 '21, we recorded the single largest subscription software deal in our company's history, which made for a challenging comparison this quarter. Our unbundled portfolio and usage-based pricing is resonating with small and medium enterprise customers, and we saw continued improvement in software deals under $100,000. Revenue from these transactions grew 23% year-over-year, led by the Americas and EMEA. Fiscal first quarter services revenue increased approximately 5% year-over-year to $101 million. The growth in services revenue is being driven primarily by Metallic. We also saw improvement in professional services revenue as we delivered services attached to the strong software results in the second half of the prior fiscal year. Let me now discuss our transition to a recurring revenue-based model. First quarter subscription software revenue of approximately $50 million represented 60% of total software revenue. Our subscription ARR net dollar retention rate continues to exceed 110%. Total annual recurring revenue, or ARR, increased 13% year-over-year to approximately $533 million. The sequential increase was driven by largely -- was driven largely by new subscription customers and strong growth from Metallic. Total recurring revenue, which includes subscription software, maintenance support services and SaaS, was $142 million, representing 78% of total revenue in the quarter. Now I'll discuss expenses and profitability. We reported fiscal first quarter gross margins of approximately 87%, a 70 basis point improvement year-over-year. The increase was driven by the absence of pass-through hardware sales versus a year ago and the reduction of certain third-party royalties that were associated with our legacy hyperscale products. Total expenses, including both cost of sales and operating expenses, increased 1% year-over-year to $140 million. Our spending was lower than expected, mostly because of the timing of headcount investments. The timing of hiring of certain positions was impacted by COVID. We have already started catching up in Q2. Our solid revenue growth and lower-than-expected expenses resulted in non-GAAP EBIT of approximately $41 million or 26% growth year-over-year. Non-GAAP EBIT margin improved 360 basis points year-over-year to 22.4%. Now I'll discuss cash flows and the balance sheet. For the quarter, we generated approximately $36 million of free cash flow tied to our strong EBIT performance and the collection of receivables from Q4 '21. We ended the quarter with approximately $359 million in cash and continue to have no debt on the balance sheet. We expect a seasonal sequential decline in Q2 operating cash flow as a result of lower concentration of perpetual maintenance renewals in the first half of the fiscal year. During the quarter, we repurchased approximately 1.2 million shares for $90 million. As we outlined during our investor event in January, through FY '22, we are committed to spend $200 million plus 75% of fiscal '22 free cash flow on share repurchases. Since the investor event and through June 30, we have repurchased approximately $152 million worth of our common stock at an average share price of approximately $69.50. Now I'll discuss our financial outlook for Q2 FY '22. We believe current street consensus of approximately $83 million of software revenue for Q2 is reasonable. This would imply year-over-year software growth of 14%. Please note that the prior year second quarter included approximately $3 million of pass-through hardware, which we don't expect to have this quarter. On a software-only basis, $83 million of revenue would be approximately 20% year-over-year growth. We also believe that the current street consensus for total revenue of approximately $184.5 million is reasonable. Similar to last fiscal year, we expect the Q2 '22 software subscription renewal opportunity to be several million dollars less than Q1. For the full fiscal year, we estimate a renewal opportunity of $80 million with about 60% of this being in the second half of the year. Looking further out, we expect subscription renewals will continue to be a revenue tailwind for the next several years. As a reminder, Q2 is also typically a challenging quarter from a seasonality perspective. And as organizations return to the office, we could see some shift in IT priorities given the additional strain on customers' already limited resources. This could impact the timing of large deal closures. Now let's shift to expenses. We expect Q2 gross margins to be approximately 86% to 87% and total expenses, including both cost of sales and operating expenses, to be up approximately 4% year-over-year. This should result in EBIT margins approaching 20%. We plan to add resources to strategic areas like Metallic, our center of excellence in India and go-to-market. These investments are incorporated in our near-term expectations. In addition, we expect some of the temporary COVID-related savings to continue to normalize. Our projected share count for Q2 is approximately 48 million shares. With that, I will now turn the call back over to Sanjay for some closing remarks. Sanjay?
Sanjay Mirchandani: Thanks, Brian. We made tremendous progress and believe we have the industry's most comprehensive platform to help organizations protect mission-critical workloads as they move further into the cloud and rapidly embrace SaaS solutions. We believe we are well positioned to meet our performance goals for both the short and long term. While we have more to do, we're optimistic that, with our growing intelligent data services portfolio and focus on execution, we will be able to help our customers continue to do amazing things with their data. With that, let's open it up for questions.
Operator: [Operator Instructions]. Your first question comes from Aaron Rakers of Wells Fargo.
Aaron Rakers: Congratulations on the quarter. A couple of questions if I can. I guess, the first question is you talked towards the end of your comments around the outlook around the possibility of any kind of deal, large deal kind of pause as enterprises come back into the office. How would you characterize your pipeline, your deal activity and kind of closure rates here as we start to think about that? Has there been any changes in the June quarter? Or what are your assumptions into the September quarter right now?
Brian Carolan: Aaron, it's Brian here. Good to hear from you. So I think we're seeing consistency. We're encouraged by what we're seeing, especially on a year-over-year growth basis. The guidance that we're issuing is 14% year-over-year growth. If you strip out the hardware, that's 20%. So that's a healthy year-over-year increase from our perspective. We're just calling it out that the pandemic is very much here. People are going to be coming back to the office, it's summertime. It's seasonality. We're just calling that out. It's not anything specific we're seeing, but there's always that possibility.
Aaron Rakers: Yes, fair enough.
Sanjay Mirchandani: And then the pipeline looks fine, and there's a good mix of deals in there. So just more -- it's more, call it, stating what we think.
Aaron Rakers: Right. And then the other question I was going to ask you is that it looks like you're kind of consistently on that growth trajectory that you laid out at your Analyst Day back earlier this year. But operating margin leverage looks quite healthy. So I'm curious, as we think about the progression of operating margin, maybe some positive seasonality into the back half of the year, will you take any upside on operating margin, let's say, we go above that 24% and invest that back? Or are you willing, Brian, to kind of drop that through the model? Just curious how you're thinking about it.
Brian Carolan: We're not going to change those near-term targets that we laid out. We feel good about those and confident in what we communicated. And again, in Q1, we were a little bit behind on our investments. We're going to catch up. We're already doing that in Q2. We would expect more leverage in the back half of the year, especially with our subscription renewal opportunity and other revenue tailwinds. But again, just to reiterate, we're comfortable with what we laid out during our January investor event.
Operator: Your next question comes from James Fish of Piper Sandler.
James Fish: So HP bought Zerto this quarter, it reminds a lot of us out here about what happened with Dell kind of pre-EMC. What can you say about the impact here? What's the exposure to HP as a partner? And how does the deal potentially change the possibility of this partner moving forward?
Sanjay Mirchandani: Sure. No, it's a great question. And I'd like to set out by saying that HPE and Commvault, we have a super strong relationship. We're very committed to each other as partners, and nothing changes there. And interesting thing is that GreenLake, which is a big part of HPE strategy, we were just recently named 2021 HPE GreenLake Momentum Partner of the Year. So we continue to work with them on their strongest priorities. Now what I took away from the acquisition was the data management, whether it's in the form that Zerto delivers it or the way we do it, is top of mind, okay? And as far as we are concerned, we've had disaster recovery capabilities in our technology, both inside of our core technology as well as a stand-alone product, for a while. And we're seeing good momentum. Just as a data point, I think, roughly 2x the year on your customers. And an important metric, the workloads, virtual machines that you protect have doubled -- almost doubled year-on-year. So we're seeing good traction with our DR product. And this is a -- competition is the name of the game in this business, so that doesn't change.
James Fish: That's great. And then you did -- on Metallic go-to-market versus the rest of the portfolio. Is there a different approach here at all? Is it fair to say we're kind of nearing that $50 million run rate in the business yet?
Sanjay Mirchandani: Yes. We'll share more details on Metallic shortly, not on this call, but shortly. Like I said, it's a rising star in our portfolio. We added roughly 300-plus customers quarter-on-quarter. Our feature set, our certification on FedRAMP, I mean, we're putting a lot of muscle into this product, into this capability. And the growth is healthy, but all we're going to say -- that's all I can share at this point. We're looking at trends between cross-sell, up-sell, workloads between products, workloads within Metallic offerings. So we're seeing a lot of good patterns, a lot of which we'll start sharing very soon. But I guess the key takeaway here is that it's increasing our -- we're working with the installed base because they're seeing the value of a SaaS-based power of and. We're adding new logos. Many of them new to Commvault, which is great. Our service provider partners are looking at this as a key offering that gets them up and running quickly. So not going to comment on the number, but I will say that we're very pleased with where we're going with this.
James Fish: Got it. I can't say I didn't try, Sanjay, but...
Sanjay Mirchandani: I wouldn't put it past you, man.
Operator: Your next question comes from Jack Andrews of Needham.
Jack Andrews: I wanted to see if you could provide some more color on the strength you talked about in the sub-$100,000 deals. If you could just maybe elaborate on what products are resonating and how do we think about the expansion rates from that group of customers.
Brian Carolan: Jack, it's Brian here. So thanks for your question. So we saw a pretty broad contribution from both in the Americas and EMEA. And I think it really comes down to our unbundled product portfolio that's resonating with the channel. And we're seeing higher amount of velocity deals coming through our pipeline, which is encouraging. That's going to be a strategic move for us moving forward. We'd like this nice balance between larger enterprise deals and the sub-$100,000 deals. So yes, that was -- it was a strong quarter for that, and we expect that to continue to increase as we expand our platform going out in time.
Jack Andrews : Perfect. So maybe just to follow up on that then. I mean, could you just speak more broadly to how this multiproduct portfolio may be changing your land-and-expand motion? You also certainly had some strength with large deal sizes at the high end. Are you seeing changes with ASP customers are perhaps starting their journey with Commvault? And then how do we think about the trajectory of expansion rates over time?
Sanjay Mirchandani: Sure. So this is Sanjay. I touched on this a little bit in my prepared comments. It's -- we're seeing -- first of all, we're seeing customers really embracing what we call the Power of And. The capabilities that our portfolio provides and the flexibility it provides between having an on-premise engine like HyperScale X combined with SaaS-based delivery of Metallic. And then as customers move down the journey, whether they start in the cloud and then incorporate on-premise, or they go the other way, we're seeing that there's a lot more land that we can do with Metallic as a way say that Office 365 workloads. Let's protect those. Once you see you protect those, then you want to do other things with those workloads on-premise or incorporate on-premise workloads. So we're seeing the Power of And really work for customers across different workloads. And this gives us the ability that maybe a few years ago we didn't have. It really allows us to really go back to our customers and offer them more just complementary capabilities. For example, with ransomware where it is today and it's top of mind to every customer, if they're an existing Hyperscale X customer, I oversimplified, but they have an easy button by which they can back up an immutable copy of their data in our cloud. And we call that service MCSS, the Metallic Cloud Storage Service. And then they have a layer of protection that they just got automatically through Metallic, integrated in with their core Hyperscale X capabilities. They don't have to be a metallic customer, but they are availing of Metallic Cloud Services, SaaS delivered services on their on-premise. So we're seeing all kinds of capabilities being used mixed and matched between cloud and on-premise. And I think this is the pattern we're going to see, and I think we have an early-mover advantage here.
Operator: Your next question comes from Eric Martinuzzi of Lake Street.
Eric Martinuzzi: Yes. I wanted to focus on the operating expenses here. Just as we look out to Q2. First of all, I wanted -- sorry, before we get to Q2, I wanted to make sure I understood the Q1 -- one of the Q1 add-backs. There was a small restructuring charge in the quarter. Could you explain that?
Brian Carolan: Yes, Eric, it's Brian here. It wasn't really material for us in terms of the restructuring charge so we didn't really consider that to be something that we're focused on. It's really an ongoing thing as we move out, move resources to our center of excellence in India. And it's really just something that's going to be ongoing. And then with respect to just the Q1 spend in general we were impacted by the hiring in our COE. We weren't able to add resources there. Obviously COVID was impacting India. We're going to start catching up on that in fiscal Q2.
Eric Martinuzzi: Okay. That may partly answer my next question, which was the Q2, with the -- you expect the expenses to rise where -- obviously, Center of Excellence is one area. But is there direct sales, channel sales? Where else are we investing in Q2?
Sanjay Mirchandani: Yes. Absolutely. We're going to be investing in go-to-market Metallic. There's going to be some type of return of normalized expenses as we come out of this pandemic and also in the channel as well in marketing.
Eric Martinuzzi: Okay. And then a second question for me. The repurchase program, it was relatively just in comparison to Q4, you guys were $90 million in Q1, up from $62 million in Q4. Was that entirely driven by the seasonal cash flow spend? Or is that -- should we anticipate that to kind of sustain in Q2?
Brian Carolan: Yes. I mean we had a full quarter of activity in our fiscal Q1 on the share repurchases. Remember, we announced that at the end of January, so we had 2 full months of activity in fiscal Q4. We had full 3 months in fiscal Q1.
Operator: The next question comes from Steve Enders of KeyBanc.
Steven Enders: I just want to check on what you are seeing out there in the labor market. It sounds like there's some catch-up that you're seeing in the quarter. But I guess, how is that also more broadly impacting customers and their ability to get deals done?
Sanjay Mirchandani: I'm just trying to -- can I pass your question you're saying it's how are we seeing the labor market affecting our customers or affecting how we engage with our customers?
Steven Enders: So I guess 2 parts to that. Just one, how are you finding the current hiring environment and the labor market and your own ability to hire? It sounds like there is some catch-up spend that's happening there, but also how is that impacting your ability to work with customers.
Sanjay Mirchandani: I think, over the course of the last quarter, there's been a lot of conversations within the company here. And we've got a really clean policy about how we're thinking about our workforce in the future. And just generally for the folks we want to try and bring onboard, where are we going to work? Is it remote? Is it hybrid? Is it in the facility. So there's a lot of those conversations that I think, correctly, people are giving a lot of focus on. And we have -- like I shared in my prepared comments, Steve, we've -- as a company, we've always been -- had a large percentage of our employees that were distributed, remote, a few hybrid. We may not have called it that, but they would come into the office as needed. And then folks that were absolutely needed on-premise and would work from there. So we've just solidified that, made it a lot more flexible for our employees and potential employees on how they work. And we're investing in infrastructure, we're investing in collaboration tools. And walking into this with our eyes open saying this is a changing world. So I think we're able to recruit the talent we want. Last quarter was just -- I think I would put it down to a little of that changed and a little bit of just the COVID uncertainty.
Steven Enders: Okay. Great. I mean, I guess, good to hear the catch-up in spending happening in 2Q here or -- and the ability to hire now. Just on the Metallic side and within the customer base, I want to touch in a little bit more on how you're thinking about driving expansion within that, within those customers and kind of the additional adoption rates that you're seeing for incremental products and kind of how that has progressed now that we're a couple of years into the Metallic being released?
Sanjay Mirchandani: So we've really not taken our foot off the gas by way of innovation around Metallic. Let me talk about the innovation loop for a minute. Since we brought the product out and really over the last 4 or 5 quarters we've just whether it's geographical expansion, whether it's feature functionality expansion, whether it's workload expansion, whether it's containers, whether it's supporting multiple clouds that -- the 3 Microsoft clouds, active directory, I mean, FedRAMP certification. We've not slowed down on what the capabilities Metallic can provide. The second thing, which relates to your question, is what we keep calling the Power of And, which is with existing customers or customers that have on-premise workloads and it's very much part of their future, we give them that ability to mix and match. So SaaS-based workloads, your natural leaning is to a SaaS-based capability, which is Metallic. You may want to bring some of those workloads, that data back on the edge, on-premise. You might want to take on-premise data into the cloud. We continuously innovate the seamlessness between the technology so that customers have that -- it's not a one-way street. They can mix and match as needed. And then the glue behind all of this -- and again, I'll -- with ransomware being front and center for our customers, is we've built this capability called MCSS, Metallic Cloud Storage Service, where our existing customers can literally hit a button and get access to the Metallic Managed Service capability and an air gap copy all delivered through a single pane of glass, okay? That's the magic. That's our secret sauce. That's how we -- that's the ease of use, especially in this day and age where more and more is being expected of IT professionals done remotely, okay? Having different point products does not solve the problem. It creates a new problem. What we give them is a single pane of glass that works seamlessly across any workload, whether it be in the cloud or be on-premise.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.